Operator: Thank you for standing by. This is the conference operator. Welcome to the IAMGOLD Second Quarter 2023 Operating and Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I'd like to turn the conference over to Graeme Jennings, Vice President, Investor Relations and Corporate Communications for IAMGOLD. Please go ahead, Mr. Jennings.
Graeme Jennings: Thank you, operator. Welcome everyone to the IAMGOLD second quarter 2023 results conference call. Joining me today on the call are Renaud Adams, President and Chief Executive Officer; Maarten Theunissen, Chief Financial Officer; Bruno Lemelin, Senior Vice President, Operations and Projects; Tim Bradburn, Senior Vice President, General Counsel, and Corporate Secretary and Jerzy Orzechowski, Executive Project Director Cote Gold. Before we begin, we are joined today from IAMGOLD’s Toronto (ph) office, which is located on 313 territories on the traditional lands of many nations including the Mississauga of the credit, [indiscernible]. At IAMGOLD, we believe respecting and upholding indigenous rights is founded upon relationships that foster trust, transparency, and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer to the cautionary statements and disclosures on non-IFRS measures, including the presentation and the reconciliations of these measures in our most recent MD&A each under the heading non-GAAP financial measures. With respect to the technical information to be discussed, please refer to the information on the presentation under the heading qualified person and technical information. The slides referenced on this call can be viewed on our website. And I will now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams: Thank you, Graeme, and good morning, everyone and thank you for joining us. The second quarter for IAMGOLD was an important period for the company, as our operating teams made significant strides at both Essakane and Westwood, to bring our year-to-date attributable production to 220,000 ounces of gold and gas costs 1,234 per ounce, while keeping a safe work environment. We will walk through the quarterly operating results in more detail in a moment, but I want to congratulate our Essakane team for their remarkable resilience to allow for the mine to resume both mining and milling at full capacity in a very complex environment. Secondly, resolve significant progress of the Cote Gold Project. In June, the site reached over 1,900 workers' site. Working together to push the project to approximately 86% completion. We remain on track with the top end of our cost to complete guidance in line with the project planned capital. Further, we are now seeing activities begin to critical transition from bulk construction to finishing activities and operational readiness. At Westwood, we continue to execute on our optimization plant, with the objective to turn the mine into a positive cash flow producer in the near term. The second quarter was my first four quarters as CEO in IAMGOLD and my conviction has only grown that this is a company poised position itself amongst our peers. We are entering a transformational period for the company and I'm extremely pleased with the expertise, relevant experience and leadership in place at IAMGOLD. Our zero harm missions continue be our priority number one, and we are looking at our corporate ESG strategy and execution. When we look ahead to 2024, once Cote Gold comes online and should Westwood take the next step, the next step in production post rehabilitation. The company will have a significantly higher production base and lower cost profile, providing a strong foundation cash flow and growth opportunities in Canada. Yet, before we get there, the short-term goals for IAMGOLD are cleared. Bring Cote online with a focus on achieving a steady and sustainable ramp up of operations and manage operations at Essakane and Westwood to improve our margin, while ensuring the safety of people in the community in which we operate. Longer-term, our goal is for IAMGOLD to become a high margin intermediate gold producer with a strong operating base in Canada. Financially, we will characterize returning our 70% position in Cote with our partners, Sumitomo, as well as use our cash flow to optimize our balance sheet and deliver the company to have a more efficient and balanced capital structure. With that, we will now dive into the operating and financial results and highlights for the quarter. I'm on Slide 5. Starting with health and safety, the company has seen an improving trend year-over-year, with a days away, restricted transferred duty rate of 0.39 and a total recordable injury rate of 0.66, based on 200,000 hours work, ensuring a safe work environment would always be our primary focus at IAMGOLD and our goal continue to be Zero Harm. On production, in Q2, the company produced 107,000 ounces of gold on an attributable basis, putting us well on the path for our auction guidance target of 410,000 to 470,000 ounces of gold this year. As we will get into a moment, the production results were driven by a second of performing to plan and higher grades recently revalidated underground zone at Westwood, which helped to mitigate the impact of some operating restriction due to poor air quality in the region for the forest fires in the quarter. The second quarter saw IAMGOLD report cash cost of $1,376 ounce sold and an all in sustaining cost of $1,912 per ounce. Our cost increase over the year prior mainly due to increase costs of blended supplies, including fuel, higher power costs and previously forecasted lower grade [indiscernible], as well as an increased rehabilitation cost at Westwood. As a result, we expect costs to come in at the top end of our annual guidance ranges. On Slide 6. Turning to Essakane. The mine reported Q2 attributable gold production of 88,000 ounce bringing the year-to-date total to 180,000 ounces of gold. Mining activities totaled 13.5 million tonnes, a significant increase quarter-over-quarter as the mining fleet returned operations to full capacity. Mining activity in the second quarter completed the transition to Phase 5, resulting in a higher strip ratio, in line with -- and our plans as the operations move to new mining phases and lower grades from the prior quarter when grades were positively influenced from desired feed of material from the bottom of Phase 4 of the pit. Mill throughput in the second quarter was 3.1 million tonnes at an average head grade of 1.11 grams a tonne with throughput 42% higher than the first quarter. As operations were able to resume at full capacity to the improved ability to move necessary supply around the country. The mill reported an average recovery of 89%, which declined slightly from the prior quarter and the year prior due to lower grade including higher concentration of gravity carbon and sulfur. On a comp basis, as an added reported cash cost of $473 an ounce, an increase for the first quarter has head grades declined 30% from Q1 at the highest strip ratio. Additionally, we saw sustained system higher prices consumable as inflation pressures ease, but with signed -- with few signs of reversal as well. Increase of the landed cost of fuel due to the impact of the security situation in the supply chain, higher labor costs to depreciation of the local currency and an increase in power generation costs as heavy fuel normally used for power generation was periodically substituted with more expenses like fuel in order to maintain operations during the period where supplies was limited. We are currently building additional tank at this accounting (ph), which will increase the HFO, head of storage capacity at 5 gram approximately 50%. We expect that the extra capacity will be in place in early Q4. On an all-in-sustaining basis, cost increase to $1,587 per ounce due to the higher operating costs as well as schedule higher volume, which stripping as the mine enters the new mine phases. Looking ahead, Essakane is on track for our production going into range of 340,000 to 380,000 ounces of gold. Mining activity is expected to maintain normal operating levels in the second half of the year, including increased level of waste stripping to open phases for 2024 onwards. The mill feed will consist of a combination of direct feed and stockpile as the mine fleet sequences through the targeted phases of waste stripping. Capital expenditure guidance for Essakane has unchanged and approximately $155 million. We increased volume of capital that provides waste in the second half of the year which total, while total tonnes moved are in line with the second quarter to provide access to mine areas in support of the 2024, 2025 production plan. It is worth noting that the mining activity and stripping programs assume no significant disruptions in the supply chain resulting from the security situation in the country and the region. The company plans to file an updated life of mine or as account an updated mineral resources during the fourth quarter of 2023. This will include the details of assessing the 9.9 million tonnes of stockpile material through the CIO circuit versus the prior plan to outline capital intensive heat leach scenario. On Slide 7. Turning to Westwood. Gold production was 19,000 ounces in the quarter. 40,000 ounces [indiscernible] year-to-date. Westwood continues to be in a unique position, as IAMGOLD has been essentially rebuilding the underground mine at the same time as active mining operations are being conducted. The mine has made significant strides over the year towards taking the next step in production entering 2024. Mining activity in the second quarter totaled 212,000 tonnes of ore, which was lower than the prior quarter, due to the impact of heavy wildfire smoke and the vicinity of the mine operations required for multiple underground shift to be canceled to ensure the continued safety of our workforce. However, it is worth highlighting that underground mining activities returned 56,000 tonnes of ore at a grade of 7.6 grams a ton, which is the highest grade mine from underground in over five years. As we begin to see the benefit of [indiscernible] and activities reopening previously [indiscernible]. Mill throughput within the second quarter was 251,000 tonnes at an average head grade of 2.52 grams a tonne and improved recoveries of 94% of the -- on the higher grade. Cash costs and all-in-sustaining costs continue to apply at Westwood with a very high sensitivity to line output and due to the increased levels of ground support required for development and rehabilitation work relative to the annual plan. Additionally, mining activity started at the satellite open pit Fayolle with minimal productions in the quarter, yet adding $2.4 million of the failed development capital to operating cost. Looking ahead, Westwood is well on track with our guidance range of 78,000 to 90,000 ounces this year. Production levels and unit costs are expected to improve into the second half of the year, benefiting from the continued advancement of underground development, providing access to more and higher grade stope sequence. Mill fee will continue to be supplemented from available satellite surface deposits, including increased proportion of ore feed from the sale property in the second half of the year. On Slide 8, I just want to take a moment to dive a little deeper into our activities at Westwood. Underground development year-to-date is near record development rate with 2,855 meters of lateral development completed to secure safe access to multiple ore faces, including high grade pass producing areas, which would allow for increased operational flexibility in support of the 2024 and beyond production plan. We have increased the sustaining capital expenditure guidance for Westwood by $35 million. Of the underground rehabilitation, and development has been progressing ahead of schedule due to better than planned productivity rates, moving some of the 2024 work into 2023 and reducing the work required in 2024, while some of the rehabilitation work requires, more ground, support increasing costs. This work not only is allowing the return of mining into a higher grade area, that were previously closed, but also opened the door for potential mineral reserve increases should this variance been upgraded from resources as they are proven to be mineable. We will have an update 43 101 (ph) for Westwood in the fourth quarter. As production volumes increases and rehabilitation work decrease we expect to see cost cut down. With the goal of positioning the assets for positive free cash flow for a better and profitable 2024 and beyond. Slide 9. Turning to Côté Gold. I am pleased to have our executive project director here with us today, to walk us through the developments and progress in the quarter. Jerzy?
Jerzy Orzechowski: Thank you, Renaud. The second quarter, considerable progress was made at Côté Gold (ph), achieving significant milestones and earthworks processing plant and operating readiness. It was a critical quarter as we started the quarter in the spring fall or the fresh head season. Water management systems have been put in place, handled the tasks administratively, and I must compliment the teams for the planning and management. At the end of the quarter, the project was approximately 86% complete. And as Renaud mentioned, we are now seeing activities move from the bulk construction to the more detailed and have very important finishing derivatives. The physical changes of the site have been remarkable, and I'll walk you through some pictures on [indiscernible]. We currently have been over 1,900 workers at the site, with the camp at peak capacity, despite the house, our construction teams, contractors and subcontractors have done a great job and we have reached the 225 million hours’ worth milestone. On earthworks, we completed phase 1 on the TMF and have started to accumulate water in preparation for the pump startup. The primary and secondary crushing circuit made considerable achievements with the HPGR arriving on-site and installation progressing at the first phase. Inside of the plant, the installation of the ball new liners was ongoing and the multi-server active site to facilitate installation in early Q3. We have [indiscernible] completion of the leach tanks and installation of the agitators from our approximately six weeks to eight weeks later than originally planned, in order to prioritize the workforce on a critical installation of the crushing circuits. Finally, the power substation is now being commissioned with the connection to the provincial hydro grids schedule for this model. To allow the full electrification of site and the deployment of electric shovel later this quarter. Moving to recent pictures. Let me walk you through the main project areas of the site. Moving left to right on top to the bottom. Here we can see the TMF. As we are looking north east of the plant, the first line that you see, the boundary was at 92 million meter (ph) location, which was completed in Q1 and preparation for the fresh head season. The second liner boundary at 396, which completes phase 1 and allows for accumulation of water for the startup that you can see was also done. The next phase we’ll see the down rising to 409 elevation to allow for the full first 12 months of operations. Next in the middle top is the high voltage substation. And as I mentioned earlier, the substation focus has shifted from construction to decommissioning to prepare for amortization and collection of [indiscernible] hydro grid. Top right is the view of the primary crusher, where this fueling auxiliaries (ph) are complete and we are not putting the roof decking in place to commission the bridge crane for a final few lifts of the crusher components. Bottom left, we have an HPGR area illustrating very advanced mechanical installation and the teams are focusing around piping and electric lines position. The bottom middle is grinding with the bone of our action very advanced. We are transitioning to the final stage of sub-construction and early commissioning activities. And on the bottom right, you see the leach tank farm area, where we are concentrating on finalization of mechanical action, electrical and confusion of the piping installation. Moving on to the timeline. The Côté Gold continues to track well to the updated project schedule works production in early ‘24. We are working on close alignment with our partners, Sumitomo and our contractors to ensure that copies both safely on time and in the current budget and scope. Our focus in Q3 will be on complementing the construction of the remaining portions of the plant and starting pre-commissioning activities. Q4 will be focused on finalization of pre-commissioning of preparation for the oral introduction early in the year. With that, I will turn the call back to you Renaud. Thank you.
Renaud Adams: Thank you, Jerzy. And on Côté, I'd like to add that our goal is straightforward. We want to ramp up -- we want to ramp up of Côté to be among the most successful major gold projects there enough (ph). That is not to say, we are naive about the challenges ahead, but the team we have in place and continue to build, I've done this before. We're excited about the future at Côté and what it means for IAMGOLD. On Slide 12. Of course, when talking about the future, we need to continue to highlight Gosselin. We are continuing to drill at Gosselin with nearly 1,000 meters complete so far this year. The deposit has only been drilled with a fraction of the meters compared to Côté and to half the debt and remains open long stride in our dam (ph). Our last batch of assays results earlier this year successfully intersected mineralization to the south, to the [indiscernible] and below the current resource boundary of the deposit. The goal of the current drill program is two-fold. Continue to expand the mineralized envelope of Gosselin, as well as infill to support ongoing technical study to advance metallurgical testing and to support mining and infrastructure study to begin reviewing alternative for potential inclusion of the Gosselin deposit, deposit into a future according to life of mine plan. We expect to have results for the ongoing drilling program in early Q4. WE believe that Gosselin with its initial resources of 3.4 million indicated ounces and 1.7 million ounces occurred continue to be in the early stage of discovery and Gosselin, its location immediately adjacent to the Côté deposit as a potential to add real value to the Côté project. With that, I will pass the call over to our CFO, who will walk us through Côté pending and financial review. Maarten?:
Maarten Theunissen: Thank you, Renaud and good morning, everyone. Looking at project spending, the Côté Gold UJV incurred $270.1 million in project expenditures on 100% basis, or $189.1 million on a 70% basis during the quarter. It is worth highlighting that for accounting purposes, the JV funding and amending agreement does not meet the requirements on our IFRS to recognize the dilution of the company's interest in the Côté UJV as a sale and so the company will continue to account and report for 70% of the assets and liabilities of the joint venture, as well as 70% of the incurred project expenditure. The company has recognized the financial liability on the balance sheet that approximates the current repurchase price, representing the $250 million funding contribution that Sumitomo made on IAMGOLD behalf. That resulted in our interest being diluted to 60.3%, as well as incremental funding that Sumitomo made due to their increased ownership and the accrued fee for the repurchase option. The liability will continue to increase with the 9.7% of incremental funding that Sumitomo provides until Côté achieves commercial production. This commencement of construction, $2.23 billion of the planned $2.965 billion of the project expenditure has been incurred. Looking ahead, the remaining cost to incur to complete Côté is estimated at $665 million to $735 million at 100% or $4165 million to $515 million at 70%. The higher range of the estimate to complete of $735 million will take us to the $2.965 billion for the August 2022 technical report. The table at the bottom outlines the provision of the Côté cost to complete guidance with the actual spending amount incurred quarter-over-quarter. In order to convert the expected incurred cost to complete at 70% to IAMGOLD’s actual funding requirements as a 60.3% joint venture partner. The incurred cost is just for changes in working capital, lease funding received and the decrease in the required cash balance helped by the UJV, when the level of expenditure reduces after the completion of construction. Our goals need to fund 60.3% of this target going forward. Now that funding a great arrangement and dilution has been concluded. During Q2, Sumitomo funded the remaining $61 million of the $250 million total as per the agreement on behalf of the company and an additional $18 million due to increased ownership. Sumitomo funded all of the joint venture cash flows up to May and the company commenced funding in June and funded approximately $60 million to the UJV during Q2. IAMGOLD will now fund 60.3% of the UJV cash golds that is approximately $425 million to $475 million during the construction phase. Turning to the Q2 financials. Revenue from continuing operations totaled $238.8 million from sales of 111,000 ounces at an average realized price of $1,973 per ounce. Adjusted EBITDA from continuing operations was $63.8 million for the quarter, translating to an adjusted loss per share of $0.01. In terms of our financial position, IAMGOLD ended the quarter with $747.7 million in cash and cash equivalents and $452.5 million available via the fully undrawn credit facility, which equates to total liquidity of approximately $1.2 billion. We are investing excess cash and funds in Canada at rates close to 5%. We note that within cash and cash equivalents $91.3 million was held by Côté Gold and $170.1 million was held by Essakane. For Côté, the Côté Gold UJV requires its joint venture partners to fund in advance two months of future expenditures and cash goals or might at the beginning of each such month, resulting in the month end cash balance approximating the following month's expenditure. For Essakane, the company mainly uses dividends to repatriate funds, of which the company will receive 90% based on its ownership net of dividend taxes. It's a planned dividend during the second quarter of $120 million, which was received by IAMGOLD subsequent to the quarter end, net of minority interest and withholding taxes. We note that the full extent of the credit facility availability is subject to a net debt to EBITDA [indiscernible] and interest coverage covenant. Therefore, the full extent of additional liquidity of the facility is reliant on the ability of our operations to generate sufficient EBITDA to support the [indiscernible] of the company. This is one of the reasons why we announced the $400 million term loan in the quarter, which allowed the company to pay down the credit facility and use the term loan for the capital requirements of Côté and therefore, de-linking Côté funding from certain items in the macroeconomic environment and our other operations. The term loan improves on both balance sheet and strength and flexibility allowing trade facility to be available to support working capital requirements during a better pivotal year, we were ramping up Côté as well as delivering the legacy gold by prepayment agreement and gives us some measure of insurance in case of foreseeing challenges with changes in the operating for macroeconomic environment. IAMGOLD’s fund is remaining portion of the Côté UJV funding estimate of $425 million to $475 million from available cash balances and the remaining proceeds from the Bambouk asset sales. And as Renaud noted at the beginning of the call, as Côté wraps up, we can then direct our attention to key longer term financial goals of returning to 70% in the Côté UJV and delivering our balance sheet towards a more optimal capital structure. With that, I will pass the call back to Renaud. Thank you, Renaud.
Renaud Adams: Thank you, Maarten. And I really want to take a moment here to thank everyone on the IAMGOLD team for the tireless efforts and dedication. This is an exciting time for this company. I should also note that we will be holding a gold in mine tour (ph) for our investors and analyst in October. And I encourage you to reach out to Graeme and myself to save us part of the trip. We expect it would be very well attended considering the progress at Côté to date. With that, I would like to pass the call back to the operator for the Q&A. Operator?
Operator: Thank you. We'll now begin the question-and0answer session. [Operator Instructions] Our first question is from Lawson Winder with Bank of America Securities. Please go ahead. Lawson Winder, your line is open.
Lawson Winder: Thank you, operator. Good morning, Renaud and team. And Renaud, it's very nice to hear from you. I wanted to just ask your, get an idea for your long term vision for IAMGOLD now that you've been in the role for about a quarter, a little over a quarter, particularly with respect to geographic focus and could IAMGOLD look to potential -- potentially exit Burkina Faso once Côté has ramped up. And, yeah, I guess I'll leave it there for now and follow-up after.
Renaud Adams: Yeah. I appreciate the questions. And as you, as I mentioned on the call, our priority right now is definitely focused on Côté building a strong Canadian platform, continue to operate safely as a [indiscernible] significant mine for us as generated and continue to generate cash flow. We appreciate this situation right now in the Burkina and the regions, but our efforts and focus continue to make the mine work well for us and mission on contributor. As we move forward in the future, we'll address some of the step by step the building of this company. But I would say at this stage, while we continue to focus on the strong and the safe operation of this [indiscernible] in parallel, as I mentioned, this is also to develop and grow a very strong base in Canada. This is as see the gain?
Lawson Winder: I also wanted to ask about the plan to update the life of mine plan for Essakane. So just, I know it's still early and you haven't released the study yet, but is the thinking that the mine life might be reduced as a result of MOA away from the heap leach?
Renaud Adams: No, we're definitely not seeing a reduction. there was obviously questions about those tonnes that were previously meant to be on the heap leach, but I believe the team has worked very hard and diligently doing corporate those (ph), we've been capable as well to replace some ounces mines. So, we are not at expecting a reductions of life of mine.
Lawson Winder: Okay, great. And I wanted to touch on Westwood, just given that, I mean, you've had knowledge of this asset for just about as long as anyone. You've kind of painted a picture of an improved outlook going forward in the -- in your prepared remarks and in the MD&A. I am just curious like what is the upside for this mine? And you would well know that when this mine was first conceived of, I mean, the thought was it could produce 200,000 ounces a year. We're far from that, but I mean, is even anything in the 100,000 ounce range potentially achievable in your view?
Renaud Adams: Well, we are already under guidance of [indiscernible] at this year, in the guidance, 70,000, 90,000, which we're we feel pretty strong that we're going to meet well, as we continue, but you mentioned the 200,000 ounces. That's definitely not the goal in the near future to push the mine to its limit. I would rather see this mine focused on quality, returning to a very strong and higher grade on the ground which we are readily -- economics of this mine. So in the short term, of course, we're using the satellite, the surface satellites. But the real game here as we continue to diligently prepare the mine is to return to the higher grade area and focused on quality as we move forward. So while we don't see this mine necessarily now returning to the 200,000, we're definitely feel strong that it could be a 125,000 to 150,000 ounces producer at a much better margin.
Lawson Winder: And then if I could just ask about Côté finally and the autonomous truck haulage, is the assumption that you will be operating at a 100% autonomous truck haulage from day one or is there some flexibility built in there to sort of allow for potential hiccups. And the reason I'm asking is, we've seen other autonomous truck programs roll out and take quite a time, -- quite an amount of time to get up to sort of full run rate and obviously it's great you started early this year, but we'd just love to get your thoughts on that sort of ups and downs. Thanks.
Renaud Adams: Well, I'm surely looking forward to the site tour in October to see the enormous progress and how it's been, but I'll ask Bruno to add a bit to that question.
Bruno Lemelin: It's kind of – and loss from -- it was part of the original assumption to start from the get go with the autonomous fleet. And right now, what we see is, we see a ramp up that is on par as target. And again, there's no need for an operation of the fleet via operators. So actually, we are commissioning trucks one after the other and they are fully utilized, autonomously and it works real good.
Lawson Winder: Okay. Thank you all very much.
Renaud Adams: Thanks.
Operator: The next question is from Anita Soni with CIBC World Markets. Please go ahead.
Anita Soni: Hi. Good morning, Renaud and team. A few questions from me. Just in terms of Côté, can you talk a little bit more about a process where you are, the leach tanks and that you said you were optimizing just to look for the critical leach tanks or to get those up and running? Can you talk about like how many of the total leach tanks that you have that you're build the ones that are -- you are new running at the beginning and how does that impact the ramp up going into 2024?
Renaud Adams: I would ask Jerzy to give some details to it, but what I could tell you that overall, we are not saying issues, but with the tanks that would impact the commissioning of the mine. Jerzy?
Jerzy Orzechowski: Yeah. Thank you, Renaud. Maybe if we can go back to the slide we have shown with the leach tank, so you can see the installation is quite advanced/ We are in a piping electrical installation work. Most of the detectors have been installed and we have to reshuffle the workforce to deal with some critical areas, which is the crushing circuit. As I mentioned, we have a capacity right now, so we are making tactical decisions of where to shift the manpower to deal with some critical issues of work to move forward with the decommissioning activities. As you see from that picture, the tonnes are in quite advanced stage and we are basically getting them ready for the pre-commissioning work and the hydro tests. We will be starting with the first four, five tonnes and then we'll be gradually introducing more tonnes in the circuit and the start-up progresses.
Anita Soni: Okay. Can I get -- I have a second question with regard to the tailings facility. I think you gave us a little bit of color on that, but could you tell me how much capacity in the Phase 1? And then how much additional capacity were you looking for in the phase 2 of the dam?
Jerzy Orzechowski: Oh, phase 2 of the dam is the full one year capacity of production. Phase 1 is about 1.5 million cubic meters, which allows us to accumulate enough of the water for a start up in commission. And phase 1 is complete. That's -- this is why some color on it, as you mentioned, because the best way to visualize it is to look at the liner lines. So, what you see, the second liner is basically phase 1 completion. As you can see, this picture is from July. So you can see there's actually, if you look at the bottom of that picture, and there's quite a bit of work, which is already advanced in the phase 2.
Anita Soni: Okay. So the phase 2 is the full on, but my understanding is that you would definitely want that completed by Q4, right? I mean, is it a central line dam, right? So you need the retention, the time for the beaching to occur. Is that the case?
Jerzy Orzechowski: That’s correct. Yeah.
Anita Soni: Okay. Sorry.
Renaud Adams: Yes, please repeat that, Andrea (ph).
Jerzy Orzechowski: We are okay from a start-up. We have enough capacity to start up right now.
Anita Soni: Sure. Okay. And then just in terms of, when we think about next year, you said early 2024, with six months out, can you give us some color on what early means? Like, when do you expect to have first gold pours out, like the beginning of the quarter in Q -- in January or is it the end of the quarter or are we getting into Q2? It's like, I just want to try again an idea of what 2024 would look like?
Jerzy Orzechowski: I don't think we'll -- we're prepared to give you much finer date than the first quarter. I think this is…
Renaud Adams: Yeah. I mean, one thing that is very important here Anita is, we had a chance to discuss that previously is the focus is really on ramp up and achieving and getting as close to the nameplate possible rather than focusing on the single item of the gold port. We want the gold port to be incorporated in the most efficient way to reach our nameplate. So having said that, we're still pretty confident that the gold pour would occur early in Q1.
Anita Soni: Early in Q1. Okay. All right. And then I just want to circle back on Westwood. You talked about maybe getting to 125 to 150 ultimately there. And I think you said the La Fayolle (ph) property should be adding contributing to the mix in the back half of the year. Could you remind me what the grades are at that one in the open pit?
Renaud Adams: Bruno?
Bruno Lemelin: Hello, Anita. Fayolle expect at around 4 to 5 grand per ton. So, we intend to close to 100,000 tonnes this year for us from Fayolle.
Anita Soni: Okay. And how much have you done today there are zero to-date on La Fayolle.
Bruno Lemelin: Just [indiscernible].
Anita Soni: Okay. Thank you very much. That’s all my questions.
Renaud Adams: Thank you, Anita.
Operator: [Operator Instructions] Our next question is from Mike Parkin with National Bank. Please go ahead.
Mike Parkin: Hi guys. Thanks for taking my questions. Can I just confirm the timing of life of mine update for Essakane? When does that -- do live?
Renaud Adams: Did you see the technical report to [indiscernible]?
Mike Parkin: Yes.
Renaud Adams: So, Q4, from at least somewhere, you know, like in mid Q4. So, we want to have everyone a chance to digest properly their report prior to our early 2024 earnings.
Mike Parkin: Okay. And then you've guided to higher costs and obviously Essakane is kind of your bigger asset. It's been a bit lumpy but it's been kind of tracking around $110 million over the last 12 months with Q1 being a bit late given the lower throughput. Can you give us a sense of like what's going to drive, you were about $120 million direct operating costs in Q2? To get in line with guidance that kind of have a sense that it's got to come down a bit in the second half and what changes there to get you into a slightly lower cost profile to get in line with guidance?
Renaud Adams: Well, you would appreciate, of course, if you compared with the last couple of years, a big ticket is of course the increase in spending around the security. I mean, it is what it is. We need to do what we needs to be done, to keep everyone safe and the team has done an awesome job on this. But one of the biggest ticket, of course, as mentioned is fuel. And if you look at the Q2, for instance, the overrun and the FFO, LFO using LFO to generate power is a very big ticket. This is basically $100 an ounce and overall impact on the Q2. So moving forward, having said that, even though the cost has increased, there was a significant decrease in the mining unit cost in Q2 compared to Q1 of almost $1 a ton. So the mine is operating extremely well, but unfortunately, you have some inflation. So if we -- I think the extra capacity of storage as we move towards Q4 will be a big element of it. Having more storage inventory and providing us with more chance to operate power 100%, which HFO will be a big, big, big ticket to it. But other than that, I'm totally convinced is not a performance and operating performance issue. It's a procurement issue. It's a security and it's a difficulty sometimes to provide HFO for power. As we advance, should we have a better controls on the fuel supply and power generation being with HFO. Those will be the basic that gets to return to a full pass.
Mike Parkin: Okay. Thanks very much guys.
Operator: The next question is from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Great. Good morning. Thank you for taking my questions. Just wanted to know, when is the technical study of Gosselin coming out? You mentioned that you are working on that one as well?
Renaud Adams: Yeah. The -- I think that this stage is metallurgical studies is prohibited priority. And as we mentioned, more we drill Gosselin, more we grow it. And I think it's relevant to say that at this stage, we need to have a pretty good idea of the size of the Gosselin and what it needs to know before we dive too quick into studies and so forth. So I think 23 part of 24, we're going to continue to be very aggressive on the drilling and growing the deposit, doing all metallurgical studies. And Bruno, you can add, but I definitely do not see the rush to any integration study or perhaps they even late ’24, ‘25.
Unidentified Company Representative: Exactly. Hello, Tanya. This is [indiscernible]. And in addition with the metallurgical testing, we have also [indiscernible] type testing to perform. And obviously, the delineation drilling that is currently ongoing.
Tanya Jakusconek: Okay. So all of this combined maybe late ‘24, ‘25 until the market gets some sense?
Renaud Adams: Yes.
Tanya Jakusconek: That be fair? Okay. All right. So that's helpful there. And just on Essakane, I know, Mike asked about the cost. So should we just be thinking the rest of the year? Because you mentioned Westwood, we're progressively getting better quarter-on-quarter and improvement in cost quarter-on-quarter as Essakane more evenly balance for the rest of the year. Would that be fair way of looking at that mine?
Renaud Adams: Hello, Tanya. We should see forecast to be moderately lower in Q3 and Q4 as the situation with the fuel gets normalized. We also expect capitalized waste stripping to pursue its current plant program as well. And for mining as well, overall to have relatively the same kind of cost pressure we see on the input [indiscernible].
Tanya Jakusconek: Okay. So production evenly split?
Renaud Adams: The great scenario is going to be also relatively the same.
Tanya Jakusconek: Okay. And then can I ask because obviously getting the cash flow, getting cash flow from Essakane, we've got higher risks with the security issues in country. Can you just remind me what you're doing there to try and mitigate this risk as much as you can with inventories on-site. Can you just remind me what you have there? So should something occur, which we hope doesn't, but just an idea of what you have on-site and inventory levels?
Renaud Adams: So Tanya, that as we're trying to secure supplies, we're increasing our working capital, we'll have a slight impact related to the additional capacity for a fuel storage in Q4. We're trying to do the same for ammonium nitrate for explosives. Maybe you want to talk a bit more about that, Maarten?
Maarten Theunissen: Yeah. Good morning, Tanya. So we are seeing an increase in the inventory at the site as we are trying to build more capacity when there's good opportunities to bring supplies in. So there was an increase in there. I think your question also asked about cash, getting cash out of the country. We, Essakane dividend of $120 million during the quarter, they had about $170 million of cash at the end of the quarter because of buildup. And we received that dividend after the closure of the quarter. So, we continue to be successful. No issues in moving funds from the country or having the hotels out of the country.
Tanya Jakusconek: Okay. I was just wondering more like fuel explosives, other consumables are you carrying inventory the six months? Should I be thinking like that's sort of your inventory levels? Three, six months, Is that fair?
Maarten Theunissen: Yeah. And effective for fuel, we usually have an inventory close in between 15 days to 30 days. The expectation now is to increase that capacity close to 40 to 45 days.
Tanya Jakusconek: Okay. For some reason, I thought you had longer. Sorry.
Maarten Theunissen: No, I'm not on the, no, it's actually lower. This is very much in line with, especially for field with best practices usually like when you said like 20 days will be more than enough usually and it has been in the past. Now because of the logistic of the convoy systems rather than frequent and periodically. So, we accumulate trucks and then we can avoid them. So there is a need here to increase because we do not have -- as a previously, like a daily shipment and so forth. So we accumulate, we come voice (ph), so we need to increase the capacity, but it's just very much in line with the matter of fact in Canada, you would have less than that.
Tanya Jakusconek: Yeah. Okay. Great. Good luck. Thank you.
Renaud Adams: Thanks.
Operator: This concludes the time allocated for questions on today's call. I'd like to hand the call back over to Graeme Jennings for closing remarks.
Graeme Jennings: Thank you very much, operator, and thank you to everyone for joining us this morning. As always, should you have any additional questions, please reach out to Renaud or my -- myself be at phone or email. Thank you all. Be safe and have a great day.
Operator: This concludes today's conference calls. You may disconnect your lines. Thank you for participating, and have a pleasant day.